Operator: Good morning. This is the conference operator. Welcome and thank you for joining Credit Suisse Group's Second Quarter 2022 Results Conference Call for Analysts and Investors. [Operator Instructions] The conference is recorded. [Operator Instructions] I will now turn the conference over to Kinner Lakhani, Head of Investor Relations and Group Strategy and Development. Please go ahead, Kinner.
Kinner Lakhani: Good morning, everyone. Thank you, Alice. Welcome, everyone. Before we begin, let me remind you of the important cautionary statements on Slides 2 and 3, including in relation to forward-looking statements, non-GAAP financial measures and Basel III disclosures. For a detailed discussion of our results, we refer you to the Credit Suisse second quarter earnings release published this morning. Let me remind you that our second quarter financial report and accompanying financial statements for the period will be published on or around July 29. I will now hand over to Axel Lehmann, our Group Chairman, who will elaborate on the announcements from this morning; followed by Group CEO Thomas Gottstein; and our Group CFO, David Mathers, who will run through the numbers.
Axel Lehmann: Thank you, Kinner. And good morning and thank you for joining our analysts call. Today, we announced a series of important changes, most notably a new CEO and a repositioned strategy. Let me spend the next couple of minutes elaborating a little bit more in detail before handing over to Thomas and David for their respective presentation. Credit Suisse is undoubtedly facing a challenging situation both structurally and via the markets in which we operate. The need for change was clear before the second quarter results, but the disappointing performance has added a sense of urgency, as well conviction, for our actions. That is why the Board of Director has decided to take decisive actions to reposition our bank and to strengthen the performance, the reputation and credibility of the bank. With conviction, we are now embarking on measures to speed up our transformation course with a clear direction for the bank and a new leadership. Our goal is to become a stronger, simpler and more efficient bank with sustainable returns. As announced earlier today, the Board of Director accepted the resignation of Thomas Gottstein. Thomas has led the bank through some of its most challenging corporate period; and he has done it with a lot of courage, energy and commitment as well as huge personal integrity. His absolute dedication and commitment to the bank over the past 2 decades are beyond commendable. The Board of Director is grateful to Thomas for the leadership he has provided during the global COVID-19 pandemic as well as in the aftermath of the 2 incidents in 2021. Thank you, Thomas. And yet as the bank embarks on a new course, both Thomas and the Board of Directors agreed that this should be under a new leadership free to steer a new course. Ulrich Körner will oversee the detailed work required as part of the comprehensive strategic review with the full trust and support of the Board of Directors. Ulrich is an experienced transformation leader with excellent judgment and has demonstrated to the Board of Directors that he understands the urgency of the task and the need to build trust across our stakeholder base. Ulrich has significant and highly relevant experience as CFO, COO and a business CEO from his previous 11 years at Credit Suisse, including as an Executive Board member. At UBS, he was also a business CEO and the Group COO as well as a group Executive Board member. Since returning to Credit Suisse, he has rebuilt the Asset Management business with a new strategic direction and a high-performing team. He's one of the few executives in the industry with both front-to-back and back-to-front leadership experience. I personally value him as a strategic thinker with a solution-oriented approach and a clear focus on execution and delivery. He has highly relevant experience in all our core businesses and in structural cost base transformation for corporate functions. You will shortly hear from both Thomas and David on our second quarter results. They clearly do not reflect the strengths and the potential of our global franchise. Our reported pretax loss of CHF 1.2 billion was partially impacted by major litigation provisions as part of our approach to proactively resolve legal cases. At the same time, we had reported an adjusted pretax loss of CHF 0.4 billion. This is disappointing, and we will address that step by step over the coming months and quarters. The Board of Directors, together with senior management, has been conducting a strategic review of the bank's businesses, with the goal to shape a more focused, agile group with a significant lower absolute cost base, capable of delivering sustainable returns for all stakeholders and first-class service to clients. The Board of Directors' strategic review will recommend a new model for Credit Suisse with the following objectives: first, to strengthen the world-class global Wealth Management franchise, leading universal bank in Switzerland and multi-specialist Asset Management business; secondly, to transform the Investment Bank into a capital-light advisory-led banking business and a more focused markets business that complements the growth of the Wealth Management and Swiss Bank franchises; thirdly, to evaluate strategic options for the securitized products business, which may include attracting third-party capital; and fourthly, to reduce the group's absolute cost base to below CHF 15.5 billion in the medium term, executed with prudence while remaining focused on improving risk management and risk culture. In short, the priority of the strategic review will be to enhance our positions in Wealth Management, the Swiss Bank and Asset Management while considering options for fundamentally reshaping the Investment Bank into a highly competitive banking and more sustainable markets business. The development and implementation of the new strategy will be overseen by the full Board of Directors and supported by a [Board-led ad hoc] investment bank strategy committee, with Michael Klein as Chair; and also including Mirko Bianchi, Richard Meddings and Blythe Masters. In closing. We remain focused on improving risk management as well as the risk culture across the group. We remain focused to speed up our transformation and disciplined execution. And I'm absolutely convinced that, under the leadership of our new CEO, Ulrich Körner, and the rest of our strong Executive Board, we have the right leadership team in place to transform and to deliver. We will provide further details on the progress, including specific performance goals, with our third quarter 2022 results. Thanks for your attention. And with this, I would like -- hand over now to Thomas. Thomas?
Thomas Gottstein: Thank you, Axel. And thank you for, yes, your kind words. And thank you all for joining our second quarter 2022 results presentation. I will share some personal remarks before the Q&A at the end. We have reported, as we just heard also from Axel, an adjusted pretax loss of CHF 0.4 billion and a reported pretax loss of CHF 1.2 billion. Clearly the broader economic and geopolitical environment remained difficult over the first half of the year. Financial markets entered 2022 dealing with some of the highest inflation rates in the generation, putting strain on household spending and most financial assets. Nonetheless, this is clearly disappointing and does not reflect, as Axel also said, the strength and potential of our world-class franchise. This makes it imperative for us to take further solid actions to turn the bank around. We must and we believe we will restore Credit Suisse to its premium position in global finance. Let's turn to Page 4, please. As you can see on this slide, our adjusted PTI of CHF 0.4 billion was primarily driven by a $0.9 billion adjusted pretax loss in the Investment Bank. And our reported pretax loss of CHF 1.2 billion was further impacted by major litigation provisions, Allfunds-related losses and restructuring charges, totaling CHF 0.7 billion. At the same time, we maintained a strong capital position with a CET1 capital ratio of 13.5%, which is in line with our guidance; a CET1 leverage ratio of 4.3%; and a Tier 1 leverage ratio of 6.1%. I'm also pleased to say that we already achieved our year-end 2022 ambition of releasing more than $3 billion in allocated capital from the Investment Bank by the end of this quarter. We have launched a group-wide comprehensive review with the objective to strengthen our world-class Wealth Management, leading universal bank in Switzerland and multi-specialist Asset Management business. At the same time, our plan is to transform our Investment Bank with the aim of achieving a less-complex, capital-light advisory-led banking business; and a more connected markets business that further supports the growth of our Wealth Management and Swiss Bank divisions. We are also assessing strategic options for our market-leading securitized products business. We think there are exciting opportunities to accelerate growth and to further strengthen its competitiveness by attracting third-party capital. Additionally, we are targeting an absolute cost base for the group of below CHF 15.5 billion in the medium term, supported by a broader cost efficiency and digital transformation. Strengthening risk management and risk culture as well as addressing legacy issues remain an absolute priority. We are also focused on working through our regulatory remediation program, supported by the Strategic Regulatory Remediation Committee chaired by David Wildermuth to oversee delivery of our programs. Next slide, please. For the first half, we reported a group adjusted pretax loss of CHF 0.1 billion, with the robust performance of the Swiss Bank and positive contribution of our Wealth Management and Asset Management businesses offset by a challenged performance from the Investment Bank. The reported pretax loss of CHF 1.6 billion was primarily driven by major litigation expenses of CHF 1.1 billion as part of our approach to proactively resolve legacy cases, as well as a loss on Allfunds of CHF 0.5 billion. Next slide, please. The performance of our Wealth Management division reflected higher net interest income benefiting from rising interest rates, which was more than offset by lower recurring commissions and fees and transaction revenues impacted by the adverse market environment. Our operating expenses in the second quarter were 18% higher due to higher group-wide technology, risk and compliance costs; as well as investments in relationship managers and China. While we attracted inflows in APAC and the Americas in the second quarter, reflecting our franchise strength, we reported moderate net outflows overall mainly due to outflows from Switzerland and the EMEA region. In addition, in the first half, we attracted positive net new assets of CHF 3.4 billion, which included Russia-related outflows of CHF 1.9 billion. Our Investment Bank performance was impacted by substantially lower ECM and leveraged finance market activity as well as leveraged finance mark-to-market losses. At the same time, we delivered higher advisory revenues and strong equity derivatives and macro trading benefiting from increased market volatility. Our Swiss Bank continued to show a resilient performance, with net revenues up 3% across all major line items, partly offset by normalized provisions for credit losses and higher operating expenses. The return on regulatory capital was 12%. Our Asset Management division was impacted by the challenging market environment, with net asset outflows of CHF 6.1 billion driven by outflows across both traditional and alternative investments, only partially offset by inflows from investments and partnerships. David will explain the divisional performance in more detail. Slide 7, please. Let me spend a few minutes on the performance of the Investment Bank. In this context, it is important to remember that our franchise mix, which particularly benefited us in a year like 2021, has been much less supportive in the recent environment given our much more limited exposure to macro and rates as well as commodities. In addition, we still have a very significant negative PTI drag in equities from exiting Prime Services, as we have lost 98% of revenues but still have a large part of the costs. Our strong positions across both ECM and leveraged finance were impacted by the substantial slowdown in market activity. In addition, we also experienced leveraged finance mark-to-market losses of $245 million. However, we saw an increase in advisory revenues of 37% from a year earlier. And we were also involved in 5 of the 6 top IBCM fee events. We have a market-leading franchise in securitized products, and while our financing pipeline is robust, revenues were lower than a year earlier in the context of widening credit spreads. Our second quarter equity derivatives performance was the best in recent history. Next slide, please. In our Wealth Management division, we report an increase in net interest income driven by higher interest rates. In this context, we expect higher rates to add about CHF 800 million to the Wealth Management net interest income by 2024 versus 2021. In the context of challenging markets, our recurring commissions and fees were lower, reflecting weaker AUM and broadly stable margins, while our transaction-based revenues were impacted by the risk-averse client sentiment. We continue to invest in relationship managers, in technology and in risk and compliance. Next slide, please. We are a top 2 global wealth manager outside the United States with CHF 1.2 billion client business volume and strong exposure to higher-growth markets. We have world-class investment bank franchises across, amongst others, IBCM, securitized products and equity derivatives. We are also a leading universal bank in Switzerland with a #1 position in investment banking and in institutional clients and top 2 positions in corporate banking and wealth management. We are also a multi-specialist asset manager with distinct strength. As highlighted before, we are taking strategic actions to further strengthen our Wealth Management, Swiss Bank and Asset Management divisions; and to transform our Investment Bank with the aim of achieving a less-complex, capital-light advisory-led and more connected business that further supports the growth of our Wealth Management and Swiss Bank divisions. Next slide, please. Over the past 7 years, we have significantly strengthened our balance sheet and capital ratios. We maintained a resilient capital base with our CET1 ratio at 13.5%, in line with our guidance. And our CET1 leverage ratio stands at 4.3%. Our Tier 1 leverage ratio of 6.1% is amongst the highest in our peer group, if not the highest. Next one, please. Let me briefly touch on our ongoing digital transformation, led by our Chief Technology and Operations Officer, Joanne Hannaford, which we expect will open up new opportunities and drive and accelerate change across the entire bank. These efforts should contribute, together with our broader cost efficiency program, to reducing group adjusted operating expenses to below CHF 15.5 billion in the medium term, as I previously mentioned. Next page, please. We have come to the conclusion, and as Axel explained before, that we need to consider alternatives to go well beyond last year's strategic review, particularly given the challenging market environment. We are currently conducting a strategic review to evaluate ways to further strengthen our Wealth Management, Swiss Bank and Asset Management divisions; and to extend their leadership positions. We are assessing a further transformation of our Investment Bank into a capital-light advisory-led banking business and a more focused and connected markets business that complements the growth of the Wealth Management and Swiss Bank franchises. We are also evaluating strategic options for our market-leading securitized products, which may include attracting third-party capital into this high-return platform and potentially freeing up additional resources for the bank's growth areas. This highly profitable global franchise, which employs around 20 billion of risk-weighted assets, has significant untapped growth opportunities. And lastly, we have embarked on an ambitious new plan to significantly reduce our absolute cost base to below the CHF 15.5 billion which I mentioned before in the medium term. David will talk more about this plan in his section. And with this, I would like to hand over to David, and I will come back after his presentation. Thank you.
David Mathers: Thank you, Thomas. And good morning to everybody. I'd like to go through now the key financials and give some more details on our performance at the group and the divisional levels. Quite clearly, as Thomas has summarized, a very difficult macroeconomic environment which has been characterized by the rapid increases in interest rates has resulted in a disappointing quarter for the group. Let me start then with the group numbers. We've achieved an adjusted pretax loss of CHF 442 million for the quarter compared to an adjusted pretax income of CHF 1.31 billion for the same period of last year. At a reported level, the pretax loss was CHF 1.17 billion. I will take you through the walk in more detail on the next slide, but this reported figure includes a further valuation loss of CHF 168 million on our -- on the mark-to-market moves in the publicly listed Allfunds Group as well as major litigation provisions totaling CHF 434 million. These primarily relate to 2 matters: first, to our investigations into record-keeping requirements relating to business communications sent over unapproved devices; and second, in respect of a previously disclosed legacy legal matter. Now if we just focus on the adjusted loss of CHF 442 million. This comprises adjusted net revenues of CHF 3.82 billion and adjusted operating expenses of CHF 4.2 billion. Now to be clear: These adjusted revenues include $245 million of mark-to-market losses in respect of our leveraged finance underwriting book, the majority of which are unrealized. We've also taken CHF 100 million of impairments and charges, nonoperational charges, in our Wealth Management business, all of which are reflected in the adjusted pretax loss number. Provisions for credit losses in the quarter were CHF 64 million compared to a release last year when we were able to write back some of our nonspecific provisions that were taken during the COVID pandemic. Now in terms of our effective tax rate, as you know, we have certain nondeductible items such as funding and litigation costs, together with our constraints on our ability to recognize further deferred tax assets in certain jurisdictions. That means that we do have an absolute tax charge even when the bank is reporting a loss for the quarter. The overall effect therefore is that our net loss attributable to shareholders for the quarter was CHF 1.59 billion. Next slide, please. What we show here is the impact that our adjusting items had on our underlying performance both in the second quarter and in the context of the first half. Now I'm not going to go into detail on every item, but just going from left to right, [along] the top line representing the second quarter, you can see the impact of the fall in the market value of Allfunds of CHF 168 million, which I've mentioned already; a charge of CHF 13 million relating to some of the ongoing work around Archegos; CHF 80 million of restructuring costs; and most importantly, the CHF 434 million in respect of major litigation provisions. There was a small element of gains from real estate totaling CHF 7 million in the quarter. And we also had a small goodwill impairment relating to the transfer in the second quarter of a portion of AFG to the Investment Bank, which cost us [$23 million]. Now if we look at the reconciliation for the first half, you can see that the reported pretax loss of CHF 1.6 billion translates into an adjusted pretax loss of CHF 1.42 million -- CHF 142 million. The key point I'd make is that, if you take together the major litigation provisions and the valuation loss on our investment in Allfunds, that accounts for more than the total pretax loss. While the loss of more than CHF 0.5 billion on Allfunds is a function of the company's share price portfolio, the provisions for major litigation, though clearly significant, are indicative of the progress that we are making to resolve these issues. Now as Thomas has already summarized in the context of the comprehensive view of our strategy, both the Executive Board and the Board of Directors have concluded that, given the significant change in the operating environment which may well be sustained for some time, our cost base needs to be lowered. We're therefore looking to accelerate our digital transformation program, including a further simplification of our front-to-back processes, reduction of manual data handling and duplication and increased use of scalable cloud-based infrastructure. I'm sure you'll recall that at last month's investor deep dive we identified at least CHF 650 million of savings in the CTOO function. We'll look to build on this. And taking alongside our broader cost efficiency initiatives, we expect this digital transformation program to play a critical part in reducing our adjusting operating expenses to our new target to be below CHF 15.5 billion in the medium term. This program is extensive and far reaching. We've done a lot of work with outside consultants on our benchmarking, and the savings will be significantly larger than those which we summarized back in June. Clearly this will constitute a new cost program, under the SEC rules, but with associated guidance we provided around the expected incremental restructuring costs. And I'll give more details on that when we report our third quarter earnings at the end of October. Now just to be crystal clear: This is our net expense ambition. That is net of investment spend that we continue to allocate to our core businesses. Therefore, the gross ambition that we will give in October is likely to be in excess of the new guidance in reduction in costs of CHF 1 billion to CHF 1.5 billion. Now just in the interim, our adjusted operating expenses in the first half totaled CHF 8.4 billion on an FX-neutral basis. And if you annualize that, that comes out at CHF 16.8 billion, which is clearly in line with our existing guidance of CHF 16.5 billion to CHF 17 billion. And that does include significant incremental investments relating to the implementation of the group strategy as well as increased remediation spend on compliance and infrastructure, which totaled about CHF 331 million in the first half of the year. Let's turn now to client business volume, please. Clearly we have seen a significant sell-off in the markets across most asset classes in the second quarter. And this has accounted for the bulk of the 6% quarter-on-quarter decline in client business volumes to CHF 1.16 trillion. Within this fall, we saw a reduction of CHF 53 billion in assets under management primarily due to market moves; [and also] CHF 4 billion and CHF 18 billion in net loans and custody assets, respectively. Now with regard to net new assets, we saw net asset outflows totaling CHF 1.8 billion across Wealth Management and Private Banking Switzerland in the quarter. These primarily occurred in the EMEA region, largely related to non-sanctioned Russian clients totaling CHF 1.4 billion and certain Middle Eastern clients totaling CHF 2 billion. I'm pleased to note, though, that the Asia Pacific region, having delivered positive inflows in the first quarter, has now continued this momentum in the second quarter. And you may recall that we did comment on deleveraging in Asia Pacific last year. So the total net new asset inflow for the first half was CHF 2.8 billion. Can we turn to the next slide, please? So let me just give some more detail, please, into the impact of the significant upward move on interest rates both in the short term and through the forward curve. I would anticipate that the benefit to Credit Suisse in 2024 will be approximately CHF 1 billion compared to 2021. Now the majority of this, as we said back in June, will flow through the Wealth Management division, as it has the greatest exposure to U.S. dollars, but we'd also expect to see some benefit in this division from the movement in euro rates. One point that I would note is that the benefit that we expect to see from the upward move in the U.S. dollar and euro curves will be partly offset by the move in Swiss franc rates toward 0. I think, as you know, the major Swiss banks have been -- have an exemption threshold which is maintained by the Swiss National Bank, which has given us a benefit of around CHF 400 million per year whilst rates were set at minus 75 basis points. And I think you're aware that similar structures exist with -- in Europe with the ECB, for example. Now what does that mean? It means, as Swiss interest rates converge toward 0, that benefit is being and will continue to be eroded until we start to see a credit when rates move into positive territory. Now one final point just for the sake of completeness. We have seen an increase in the costs of our capital instruments due to the movement in credit spreads in the course of this year. And I would expect this to very partly offset the benefit of the upward trend in interest rates by about CHF 200 million in 2022 against 2021. Next slide, please. Now despite the challenging environment, our capital and leverage ratios remain resilient. As we guided at the beginning of June, our CET1 capital ratio at the end of the second quarter was 30 basis points lower than at the end of the first quarter at 13.5%. Our risk-weighted assets increased by CHF 1 billion to CHF 274 billion. And as you can see from the slide, FX moves was largely offset by a CHF 4 billion reduction in RWA usage across our business lines. Our CET1 leverage ratio and our Tier 1 leverage ratio were both unchanged at 4.3% and 6.1%, respectively. Our leverage exposure overall fell by CHF 15 billion in the quarter primarily due to reductions in business usage across all divisions. The CHF 13 billion reduction in the IB that you see there includes $6 billion from the exit from prime which is now largely complete. Just looking forward, as we've said in our media release today, we'd expect the CET1 ratio to be in the range of 13% to 14% for the balance of the year. Just a brief comment on the Swiss CET1 ratio for Credit Suisse AG, the parent. This was 40 basis points lower quarter-on-quarter at 11.4%, driven both by the net losses but also by adverse FX impacts because we cannot fully neutralize both parent and group through FX moves and particularly the strength in the U.S. dollar. That was partly offset by some continued progress on our capital repatriation program, which included a $1.2 billion capital distribution from the U.K. entity CSSEL, Credit Suisse Securities Europe Limited, to Credit Suisse AG. And I'd reiterate what I said about this program at the end of April, which is that we continue to execute our dividend and our capital repatriation plans for '22, although clearly the progress in these plans do remain subject to regulatory approval. And I would expect the bulk of them to materialize, though, in the second half of the year. Now with respect to additional Tier 1 capital, we expect to issue between CHF 2 billion to CHF 4 billion of AT1 capital this year, of which [$1.65 billion] has been issued already. This is both to maintain our Tier 1 ratios but also to prefund AT1 redemptions that are actually scheduled for 2023. Let me now turn to the different business divisions, which we report as usual on an adjusted basis unless stated otherwise. And let me start with wealth. Now the Wealth Management division continued to see a challenging environment in the second quarter, albeit with adjusted pretax income adversely affected by certain asset impairments and nonoperational charges. I'd like to call out 4 factors, please, which are all included, just to be clear, in the adjusted numbers. First, revenues were adversely affected by impairments of CHF 17 million related to certain third-party assets. Second, the ongoing fee waiver program relating to the supply chain finance matters reduced revenues by another CHF 24 million. Third, we saw mark-to-market losses in APAC financing of CHF 21 million. And finally, the cost line was negatively impacted by a CHF 38 million write-off in respect of certain IT-related assets relating to the digital program for the Wealth Management division. We have, as I've noted already, begun to see the significant benefit from the rise in interest rates, which helped net interest income to increase by 4% year-on-year and by 9% quarter-on-quarter to CHF 558 million. The 14% year-on-year reduction in recurring commissions and fees reflected lower assets under management, albeit broadly stable margins. The more cautious sentiments amongst clients, which adversely affected brokerage and structured product fees, contributed to an 11% reduction in transaction-based revenues. And overall, therefore, net revenues for the Wealth Management division declined by 7% to CHF 1.44 billion. With regard to expenses within the Wealth Management division. These increased year-on-year from CHF 1.14 billion to CHF 1.34 billion. This was due to the investments that we're making in business growth, including in China; as well as higher group-wide technology, risk and compliance costs. It also includes, just to be clear, the CHF 38 million [IT-related] impairment. Now adjusted pretax income was therefore 74% lower year-on-year at CHF 114 million. And if you include the valuation loss on our investment in Allfunds, which is booked to this division, the reported figure was a pretax loss of CHF 96 million. As I said already, we saw net asset outflows of CHF 1.4 billion in the division, with net outflows from EMEA and Switzerland partly offset by net inflows in APAC and the Americas. For the first half of the year, net new assets in the division was positive CHF 3.4 billion. Now let me turn now to the Investment Bank. I think quite clearly this was a disappointing quarter for the Investment Bank. This reflects the combination of a mix in business lines, which was partly affected by the heightened market volatility resulting from the move in interest rates, together with significantly lower client activity. I think, as you can see from the slide, this was most notable in capital markets which saw a 96% decline year-on-year to $38 million, but you should note that this figure does include the markdowns of $245 million on our leveraged finance portfolio which I referred earlier. And just to be clear on that point: Those marks are largely unrealized. Our accounting policy is to mark those commitments [to market when] -- as we actually see them. And I think that is the prudent and correct thing to do. Fixed income sales and trading revenues were 32% lower year-on-year at $622 million primarily due to lower emerging markets trading and financing activity; as well as reduced securitized products trading activity, although that does compare to what was a very strong quarter in 2021; as well as reduced credit revenues with lower primary issuance and reduced trading volumes. Now as has been the case in previous quarters, reduced adjusted equity revenues, which were 33% lower at $340 million, was primarily due to the exit [from the most] of our prime service businesses. Taken as a whole, net revenues for the division was 55% lower year-on-year at $1.15 billion. Now just against this weak picture, I would note that we did see higher GTS revenues due to strong equity derivatives and macro trading activity resulting from the increased market volatility, albeit this was partly offset by lower emerging markets trading and financing activity. We also saw a strong performance in advisory, where a significant deal closing grow revenues -- drove revenues 37% higher to $190 million. Operating expenses were flat year-on-year at $1.95 billion, as reduced revenue-related expenses was offset by higher technology, risk and compliance costs. The provision for credit losses of $57 million reflects an increase in both specific and nonspecific provisions compared to a net release of $56 million in the second quarter of last year. [Division] total RWA was down by 8% and leverage was down by 4% quarter-on-quarter. Let me turn now to Asset Management. The Asset Management division's performance was adversely affected by the sell-off in markets in the second quarter and corresponding -- and the corresponding reductions in the market value of assets, but we did also see a reduction in client risk appetite. Net revenues was 25% lower year-on-year at CHF 311 million, primary driver being performance, transaction and placement revenues which were 94% lower at CHF 5 million. The 9% fall in recurring management fees was primarily driven by the 9% year-on-year drop in assets under management, which was due to market and FX effects in large amount. We are disappointed, though, at the level of net asset outflows which totaled CHF 6.1 billion in the second quarter. This was driven by outflows across both traditional and alternative investments, partly offset by inflows from investments and partnerships, but I would note this net new asset performance does in part reflect the roll-off profile of funds within the portfolio as well as the decline in client risk appetite. Operating expenses in the division were CHF 278 million, which was 5% lower year-on-year. The release of certain provisions relating to the supply chain finance funds matter was partly offset by higher technology, risk and compliance costs; as well as increased cash accruals for compensation due to normalized deferral levels. Overall adjusted pretax income was 75% lower year-on-year at CHF 31 million. Now let me just conclude then with a few words on the Swiss Bank. I think it's quite clear that the Swiss Bank has continued to perform well amidst the wider market turbulence. At CHF 1.05 billion, net revenues was higher both sequentially and year-on-year, with a 3% increase compared to the second quarter of 2021. We saw solid improvements in net interest income, recurring commissions and fees and transaction-based revenues with higher deposit income and higher revenues from FX transactions. And we continue to benefit from the post-COVID recovery at Swisscard. As I mentioned before, though, we do expect the net interest income for the third quarter will decrease sequentially due to the Swiss National Bank's decision to increase interest rates from minus 75 basis points to minus 25 basis points. Now our provision for credit losses was higher than a year ago [when we weren't able] to release certain nonspecific provisions taken during the early stages of the pandemic, but they're clearly lower than in the first quarter of the year. And our provisioning does remain at consistently low levels at less than 5 basis points of our net loan total. Now of the CHF 18 million provision that we took in the quarter, about CHF 13 million was in respect of Russia exposure. Operating expenses were 6% higher year-on-year at CHF 627 million. That increase is -- reflects both increased cash accruals for compensation due to normalized deferral levels; as well as higher technology, risk and compliance costs; and additional spending on advertising and marketing campaigns. This increase more than offset the higher revenues, meaning that the Swiss Bank reported an adjusted pretax income of CHF 402 million, about 10% lower year-on-year but 4% higher than in the previous quarter. Our client business volume was 6% lower year-on-year mainly due to decreased assets under management due to market moves. And in terms of net new assets, we did see outflows in the quarter mainly driven by outflows of CHF 1.2 billion from institutional clients and CHF 400 million from our private client business, but I'd just remind you that, for the first half of the year, the division has attracted CHF 4.4 billion of net new assets, again primarily from institutional clients. Now with that, let me hand back to Thomas. And then we can move to Q&A. Thank you very much.
Thomas Gottstein: Thank you, David. I would like to close with some personal remarks. As you will have seen by now, it is with regret that I announced my stepping down as CEO after 2.5 years. It has been an absolute privilege and honor to serve Credit Suisse over the past 23 years. Ever since I joined the firm in Investment Banking in London in 1999, my passion always was to serve clients with care and discipline but also with the famous Credit Suisse entrepreneurial spirit which we must preserve and never lose. I'm immensely proud of what we have achieved together since I joined the Executive Board in 2015, initially as the CEO of the SUB division and later as Group CEO. Despite the challenges of the global COVID-19 pandemic in 2020, the 2 major incidents which Credit Suisse had to face in 2021 and then the Ukraine invasion and market downturn this year, we made significant progress in strengthening our bank, recruiting an excellent leadership team, starting the transformation of our Investment Bank, reducing risk overall and fundamentally improve our risk culture. In the last few weeks, I had several discussions with Chairman Axel Lehmann about the future of the bank in the context of the already mentioned challenges and in light of my own situation. Based both on personal and health-related considerations, I concluded that now would be the right time to step aside, clearing the way for a new leadership to fully embrace a series of game-changing initiatives announced this morning, all of which I wholeheartedly support. I know that our disappointing first half results don't reflect the inherent strength and potential of the powerful global Credit Suisse brand, but I am convinced that we are on the right path to restore Credit Suisse to its premium position in global finance. This is a formidable institution with world-class client franchises in the markets in which we operate. And this is a testament to the quality of our over 50,000 colleagues globally and our exceptional talent pool, many of whom have become friends over the last 23 years and we will stay in touch. I am very happy that Ulrich has agreed to take over the baton as Group CEO and lead the Executive Board at this important juncture in time. He's excellently positioned to take this bank to the next level given his analytical skills, his experience and his knowledge of Credit Suisse from both his most recent engagement but also his previous work at our firm. I will work closely with Ulrich over the coming weeks to ensure a smooth transition. And with that, I would like to hand back to Kinner, who actually has his birthday today.
Kinner Lakhani: Okay, okay, so we will now begin with the Q&A part of the conference. [Operator Instructions] Alice, it would be great if we could open the line, please. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Jeremy Sigee with BNP Paribas.
Jeremy Sigee: Thank you in particular to Thomas. And best wishes for the team taking the group forward from here. I've got 2 questions. One is on the strategy review. I realize we'll need to wait to hear the conclusions, but I wanted to hear about how that review is being framed. And in particular, the cost target you're indicating seems to be a relatively limited change in the scope of the group. It's described more in terms of efficiencies rather than a change in scope, so I just wondered whether you're effectively ruling out significant changes in the shape and the scope of the group as you go into that review. And then my second question is more a numbers question for David, if you could just walk us through -- you talked about the RWA movements, but I wondered if you could talk us through the capital movements because capital reduced quite a lot less than the loss for the quarter. So I just wondered if you could talk us through the moving parts and what helped capital in the quarter.
David Mathers: Sure. I can probably take the second one, first, which I think, Jeremy -- and I think you probably just need to look at FX moves because there was a notable strengthening in the U.S. dollar in the second quarter. As we hedge forward about 65% of our equity into U.S. dollars, you'll see an appreciation in the capital base. So it's the point I referred to in my script. We neutralized the group CET1 ratio, but as the parent has a different ratio, we can't neutralize both at the same time, so that will boost the underlying group equity. Should I have a start on the first question, Thomas and Axel, and then perhaps [Indiscernible]?
Unidentified Company Representative: [Indiscernible].
David Mathers: I mean I think -- look. I think the cost reduction program is absolute priority for the Board and for executive management. We are perhaps more advanced with this than the other work because we actually started a very extensive benchmarking work in the first quarter. I think therefore, on that basis, we can say 2 or 3 things. Firstly, if we look at the current perimeter, the current -- of the bank, then we believe it is perfectly possible to operate this on the [basis of the analysis] we've done at less than CHF 15.5 billion in the medium term. Clearly we need to do our remediation programs. Those are clearly critical, but on the basis of the current structure of the bank, we think a cost target less than CHF 15.5 billion is perfectly achievable. That clearly does not preclude, and I'll pass back to Axel and Thomas, any changes in the perimeter. Clearly, if we changed the perimeters of the bank, that cost target would actually change. So that's, as you might say, Jeremy, a like-for-like view in terms of what can be achieved.
Axel Lehmann: Yes. And maybe -- this is Axel Lehmann. Just to complement on the cost target: Yes, we did that benchmarking. And I think it's quite a notching up from what we said last November as we commit to an absolute cost target based on the current perimeter of the group. And what I said earlier, we are in a strategic review with a clear plan and the objective to make that group even more focused on the core Swiss business, Wealth Management and Asset Management; and a highly focused, highly competitive banking and a better-aligned markets business. And as we go now through the third quarter, we will develop the detailed plan and then give you the details also on the performance targets and or the targets that we will communicate to the market. And Ulrich is now obviously in-charge. Thomas was fantastic helping us to bring us to the point where we are. And now we go into kind of third and in the fourth quarter and speeding up, speeding up our [overall] transformation.
Jeremy Sigee: That's very helpful. And as I say, best wishes for all the work that's underway.
David Mathers: Jeremy, one point. You might also want to look at [OCI] moves, although they don't have the same capital relevance but -- just to complete it. Mostly it's FX [there].
Operator: The next question comes from the line of Magdalena Stoklosa with Morgan Stanley.
Magdalena Stoklosa: Well, of course, firstly, Thomas, I would also like to extend my thanks to you for the years we all worked together and wish you all the best for the future as well. I've got 2 questions, 1 still on strategy, another 1 on costs. Now on the strategy, I suppose, kind of similarly to the question before, could you just explain to us kind of what sort of options would you consider for the Investment Bank, where you've relooked at that operations very, very carefully kind of last year as well? And maybe in more detail, what are the kind of theoretical options, particularly with that capital option for the securitized product platform? Just so that we get a sense of what type of changes may come. And maybe on costs, and that's particularly on wealth -- and I'm going to kind of concentrate on what's happening kind of currently. Could you run us through kind of what sort of cost pressures you're actually likely to see in the short term, particularly on the compensation side, on the retention side and, of course, on some of the IT investments that are already coming through?
Thomas Gottstein: So first of all, thank you, Magdalena, for your kind words. I suggest you start, David, with the second question, on costs, the short-term pressures. And then maybe, Axel, he will take the options for the Investment Bank.
David Mathers: Well, look. I think, as I said before, there's been quite a lot of work that's been put into the cost program and actually very detailed benchmarking at -- in every aspect of the bank to actually support this analysis. I think that has indicated significant potential even absent the strategy review. And I think quite clearly, I mean, Thomas has very much led this. I think you know we actually have outsourced our procurement function. And I think what has been clear from that outsourcing is that there are significant potential in -- for savings in some of our supplier relationships, and that does include some of our managed servicing arrangements. So I guess, brutally, Magdalena, we're paying too much. And I think, as part of the pressure around the procurement function and the outsourcing, we do see savings there. And that will give us the ability to offset to a degree at least, because one has to recognize the inflationary pressures in the system, what we're seeing outside. And it's -- that's -- I guess it's a problem, but in that sense it's an opportunity to actually achieve that. I think the second point -- and Jo Hannaford spoke eloquently about this at the Investor Day back in June. I think we made the right and brave decision to put IT and operations back together as a single function. That's transformational in terms of what it can actually drive us in terms of scale benefits, but I think -- beyond that, I think it brings back centralized IT control, which is the right thing to do, and the ability to actually drive our IT much more effectively, so as you can guess, I'm very supportive about this. And I think it does give us potential, so I'm not decrying the cost pressures we see in the system, but I think we can, I can see 2 large levers there. And when I look at the much more detailed work that we've done across the rest of the bank, I can see how we can drive towards the CHF 1 billion to CHF 1.5 billion total for our current perimeter. And as we've said, I think that really takes us in 2 directions, one, as Axel has and Thomas has said already, in terms of the strategy review. And I think, two, basically we will obviously need to deliver gross savings in excess of that net target in order to allow for our investment plan and [to a degree] to offset the inflationary factors you're referring to, Magdalena.
Axel Lehmann: This is Axel speaking, Magdalena. Through the strategy, first of all, we will leverage all the work, the good work, that the group has done last year. We also feel, from a senior executive, also from a Board perspective, encouraged by the progress on strategy implementation and execution. David was reporting that he overachieved already now our targets to shift $3 billion capital from the IB to other businesses, but we clearly came to the conclusion, amongst others, also accentuated by the current market environment but not only that, [and chose] we can execute and that we want to refocus and even speed up our transformation. And we do that not shying away to looking to some businesses that are great businesses, like the SP business, but ultimately not too much connected with the rest of the group. And we want to allow those businesses to get back on a growth path, so we are really fundamentally looking to what are the core strengths in particular we have in our Investment Bank; reshape; offer opportunities for some other parts; and then also go rigorously after the cost base, as that is an issue for the Investment Bank but for the group as a whole.
Magdalena Stoklosa: So Axel, are we supposed to -- are we kind of -- can we consider even a further shrinkage of the Investment Bank that was communicated last time around with the strategy review, particularly as you talk about the kind of the capital lightness of the model -- of your kind of new model going forward?
Axel Lehmann: Well, look what we said. We come up with the datas, details in Q3. We have exited. We have done what we said we are going to do, and yes, we are going to transform. And we are looking and enabling parts of the business to grow and to prosper, and the details will be disclosed with the Q3 results, so bear with me.
Operator: The next question comes from the line of Andrew Coombs with Citi.
Andrew Coombs: A couple of questions. Firstly, just on the structured products business, the plans for that. You talk about seeking third-party capital. Anything you could elaborate there in terms of what partnership or kind of partnerships you are looking for to an extent? How much of this will be an exit of assets versus this is just a third-party participation in this business line? And also, if there's anything you can provide on the revenues and costs of that business as well, that would be appreciated. I think you've given the RWAs and leverage exposure but nothing on the P&L metrics. And then my second question would just be on the outflows. Middle East, Russian sanctioned individuals as well, you flagged out. Do you think that's now run its course? I'm interested to know if you think there's anything more to go. And anything you can say on [July] given what UBS said yesterday?
David Mathers: Well, perhaps I would take the two questions in order. I think -- look. I think we've given the numbers around the risk-weighted assets and leverage exposure for securitized products. I'm not going to go into detailed P&L and cost metrics today. What I would say is this is a business that Credit Suisse has a long track record in. Clearly it's our origins lie in mortgage securitization, but it's expanded well beyond that into asset finance. That is a business that is seeing structural growth, particularly with the growth in private debt. There's a lot of appetite for those types of products. I think our ability to actually finance that in house is -- clearly has limits and notwithstanding the sustained profitability of this business and its high returns. And I think, therefore, it is the right thing to do, to actually consider third-party capital for this to allow us to basically maximize the potential of this franchise and, I think, without basically distorting our overall asset allocation. So we like this business, but there has to be a limit to how much capital you can actually organize. And I think there will be demand for this, and I've already received one e-mail this morning already. I think -- but it does -- it has -- this is a sustainably profitable business which does cover a very broad range of asset financing. I think, just quickly on the Russian-related outflows. Look. I think we've had outflows in -- both in respect of sanctioned clients, which we obviously do treat as a structural change because the money is locked -- and then in terms of non-sanctioned clients, we had about a CHF 1.4 billion outflow. I'm not going to comment. I think clearly it's an evolving situation, obviously, [where it's changing with] geopolitical situation. It's very uncomfortable and very difficult. [I mean just note] that we saw that in terms of those numbers. I mean, yes, I think, in terms of the third quarter -- and look. Brutally, we're only 3 weeks into the third quarter. I'm not going to comment on net new asset outflows 3 weeks into the quarter. We'll see how this quarter develops. Just do note we've had positive inflows for the first half of the year and, I think, clearly in what is a very challenging environment.
Operator: The next question comes from Daniele Brupbacher from UBS.
Daniele Brupbacher: Thank you and all the best to you, Thomas, as well from my side. Can I ask on capital, first? And I mean, at this point in time, are you ready and able to exclude a capital increase to -- if you go into this strategic review? Or does that really ultimately depend on the measures you'll take and probably also the impact or expected impact on parent bank given that restructurings often result in impairments there? And secondly, just on profitability. Obviously we will all guess how the go-to profile looks like over the next 3 months, but I mean you mentioned the CHF 15.5 billion like-for-like cost base. You had a 10% drop to your target in the past. One could argue that the business will be even more capital light going forward, so it should actually be higher than that. So I mean, taking a 40 billion [TNAV], that would probably imply like a net profit of 4 billion or revenues north of 20 billion, which you probably think could be a sustainable base given the current profile. Is that a fair way of looking at it? Or is there too much assumptions in there?
David Mathers: Perhaps I'll just kick off on capital and then hand over to Axel and Thomas in terms of the strategic review. I think the first point I'd make is I've been CFO for 12 years. And a 13.5% CET1 is one of the highest CET1 ratios we've actually ever reported, so we are in a strong capital position. And our leverage ratio is equally strong in terms of that, so I think the bank is well funded in terms of that. What I have said in the course of this morning is that I do have continued AT1 plans. I think you may note that I've given guidance of CHF 2 billion to CHF 4 billion of AT1 issuance this year, of which I've only issued [1.65 billion], so clearly we are looking to add to AT1 capital, if that's helpful, Daniele, in terms of your thinking and analysis. I think, in terms of the parent capital ratio, the drop from 11.8% to 11.4% is primarily due to FX. And I'm happy to expand on that, if you like, Daniele, but just quickly: We clearly neutralize for the group. And therefore, moves in the dollar against the Swiss franc in particular do not have an impact on the group ratio, but because the FX weighting of the parent is different from that of the group, that means that a higher dollar tends to reduce the parent capital ratio. So if we had FX rates similar to where they were at the end of the first quarter, it would have been probably closer to [11.6 or 11.7]. And then the balance basically reflects the net losses, but as you note here, I've actually seen about 1.8 billion of capital repatriations and dividends, of which $1.2 billion came from the U.K. entity CSSEL which I've talked about before, Daniele, which you know very well basically. There is an ongoing repatriation request in respect of CSSEL, and that's something we're clearly discussing with regulators. I'm not going to comment on that, but there clearly is excess capital in CSSEL because it is now a nonmaterial legal entity. And you know our plan is to repatriate the bulk of that to CSAG in due course. I think -- in terms of strategy, I think, Axel, there's not much we can really add, but...
Axel Lehmann: No. And Daniele, thanks for your question. Look. We will inform you [and] the full market in Q3. I think today, we indicate, yes, it will be bold. It will be deep, far reaching, but it will -- done with prudent, in a reasonable way. And we are really looking to set up parts of the Investment Bank also for growth [on] the banking business. We said we are going to better align the markets business. We give you an example with SP that is somewhat delivered -- guiding also our thinking. And we will now go through 3 months intense, very detailed work; and we will disclose the details of that work with the Q3 result.
Operator: The next question comes from the line of Stefan Stalmann with Autonomous Research.
Stefan Stalmann: Also from me, all the best for the future, Thomas. And happy birthday, Kinner. I wanted to follow up, please, with one question on the strategic direction. And I appreciate it's all very early, but it seems that the savings that you outlined are indeed largely targeting tech, procurement, efficiency issues. Is it fair to assume that those savings will be spread across the divisions? And how does this cost efficiency drive, help to transform the Investment Bank into a less-complex and more capital-light entity? And also does it come fast enough given that the unit is losing about 1 billion underlying pretax in the first half of this year? And the second question is a numbers question going back to the capital trajectory. You mentioned in the earnings release that there has been a positive CET1 impact from regulatory adjustments of DTAs. Has that been a material factor, please?
David Mathers: I think -- on the second point, I think that's just completing the CET1 [walk] basically. As I said, there's been a number of moves there in both FX and [OCI]. So that's useful but not material. I mean I think, just on the tax charge, it's clearly not desirable that I have to report a tax charge at the same time as we report a group loss, but that does reflect the tax structure of the group and my limited ability to actually achieve deferred tax offsets at this particular time. So there's a limit to what I can actually do, Stefan, in terms of DTA, I'm afraid. And I think we're taking a prudent approach around tax. I think -- on the first question. Look. I think -- fair points. I think, as we've said, this cost program is an absolute priority for the Board and for the executive management of Credit Suisse. It has to happen. The work on this is advanced, but I think -- and it's -- but I think it's clear, given what Jo said at the Investor Day in June, that's probably most advanced in terms of our technology operations. And I think she gave a very good summary of what can be achieved there in terms of the efficiency of our IT programs, the integration of IT and what [she's] actually bringing to this job. And I think it's got off to a very good start in terms of actually providing very effective and clear leadership. Procurement program, as I said before, is something -- the outsourcing, which something was -- Thomas was very much behind in terms of driving this. And I think that's heading in the right direction. I think it's perhaps a little bit embarrassing. The savings are what they are, but I guess it's an opportunity. But I think we do want to make the point that this cost program is not limited to technology or procurement, which just to answer your question specifically, Stefan, does accrue across the whole group because essentially majority of this is the corporate functions. And it flows out through the allocations, but it is not limited just to those things. It is a complete review of the costs of all divisions and all corporate functions of the bank and will include savings across all of those.
Thomas Gottstein: Yes. And if I may add: We did a -- really a benchmarking of cost-income ratios across the businesses and for the whole group. And we have identified cost reduction potential in every single division and in every single corporate function, so this will be broad-based. And as David said, we think we are just at the beginning here and we see significant opportunities.
Operator: The next question comes from the line of Kian Abouhossein with JPMorgan.
Kian Abouhossein: Yes. Again I also would like to thank Thomas for dealing with issues not caused by his management and operation but by previous management within the group. And thank you for your open regular communication and dealing with us analysts. I mean clearly over the last 18 months have been very demanding. Questions: First of all, good luck on finding third-party money. Now let's assume that is not going to happen. What is the second alternative in terms of exiting the securitization platform? And then the second question is have you had discussions with FINMA. And how would FINMA see potentially capital going below 13%? And if I could add 1 more quick one, restructuring costs related to the costs saving plan that you're going to be outlining in more detail. Could you give us an idea if 100% of cost savings is roughly the right magnitude as we have seen in past restructurings?
Thomas Gottstein: Maybe if I start with the SP. So look. We have already started this a couple of weeks ago. And we have reasons to believe that there is tremendous interest in our world-class securitized products business from third-party capital providers, so I'm very confident that this is a business that attracts a lot of interests. On the FINMA, capital side, clearly, yes, as it was said by David, the 13.5% is a very solid capital base. We have a Board of Directors risk appetite of 13% to 14% for the rest of the year, and that's what we are doing. We are obviously always also in contact with FINMA, but this is very consistent with the spirit there. I don't know whether, Axel, you want to add anything.
Axel Lehmann: Obviously, with FINMA, we are in very close contact and, I think, have their support on the general strategic direction and our intent. We also informed in the appropriate way the [core college]. So of course, we don't do that in an isolated way. And we are in a constant dialogue, in particular with FINMA.
David Mathers: I think your point about restructuring costs. Look. I think -- I think we've been clear. We've scoped out the program. We can see the opportunities. We are moving to implementation quickly on this point, but we are only going to provide further details on the new SEC U.S. GAAP restructuring program once we get to the end of the third quarter. And I think that's the time to do the -- I'm not sure I would make the assumption you make about 100%, Kian. I think it is certainly true that there are certain steps that we can take which is -- perhaps impact [contractors versus permanently] differently, but as I said, I think we'll give you further details in due course.
Kian Abouhossein: And may I just follow up on the third-party platform? If you don't achieve third-party money on the platform, would that mean, as an alternative, an exit of the business?
Axel Lehmann: I don't want to speculate at that point about anything. This is a highly profitable, highly success number one business in the marketplace. Trust me. We will do the right steps.
Operator: [Operator Instructions] The next question comes from the line of Amit Goel with Barclays.
Amit Goel: Again my thanks as well, Thomas, for all the help that you provided. So I've got, I mean, 2 questions; the first one, on the SP business. I think you gave some balance sheet color in terms of RWA and leverage consumption. Can you, firstly, give us a bit of color in terms of the profitability of that business and perhaps how that's evolved in recent periods? And then secondly, just understanding the CET1 target: So I think previously you said that you anticipate being at around 13.5% for the kind of the next 6 months or so. Now the range has kind of widened to 13% to 14%, so just would like to understand, I mean, what's driving that increase in, I guess, volatility for the CET1 ratio.
David Mathers: Well, I think -- look. I think I did answer a similar question on securitized products before actually, Amit. And I'm not going to give detailed profitability numbers at this point. I think that's not appropriate. I would merely restrict myself to saying that the returns on this business have consistently exceeded the cost of capital over a very extended period of time. So probably should -- we'll stop there in terms of what I say about it. And it's a very strong business that's got excellent leadership and it's got a very good history of entrepreneurship and innovation. I think, in terms of the capital guidance, look: I think we're operating in a volatile environment. I think you've seen the radical move in interest rates, so far. I'm -- I think the whole Russian-Ukrainian situation cannot be described as stable. It's not stable in any sense of the word. I mean I think it does seem prudent to give a range for the guidance for capital. I'm not saying anything beyond that, but I think that's the context in which we've set the 13% to 14%, Amit.
Amit Goel: Okay. Just given the first question, I guess, had been partially answered before, just maybe one follow-up just checking in terms of the commentary about the CHF 15.5 billion and that being within the current perimeter. If you were to make further cuts or changes to the IB, then would you then be looking at a number below CHF 15.5 billion?
David Mathers: Yes.
Thomas Gottstein: Yes. It seems to be logic, isn't it?
David Mathers: Yes, Amit.
Amit Goel: Yes. Just to check.
David Mathers: Yes.
Operator: The next question comes from the line of Alastair Ryan from Bank of America.
Alastair Ryan: Thank you, Thomas. Just really [Indiscernible] [on the outside] to judge how you're progressing with remediation of the control issues that emerged 1.5 years ago or so, many of which were backward looking but clearly a constraint on how you take risk on a daily basis. And I think, David, you alluded to the [they're quite expensive]. Can you give us any sense of how you're working through those? [At what point is FINMA] kind of giving you a clean bill of health on the things that you highlighted at the Investor Day last month?
Thomas Gottstein: Yes. I mean maybe I can start off. As I said in my comments, we have made a substantial progress in our remediation program, organization and leadership, under the leadership of David Wildermuth. We have been in very close contact with the [core college], with all 3 regulators across a large regulatory remediation book of work, which we have agreed priorities with them which is roughly a dozen major programs. They include, amongst others, the Archegos read-across. It includes the supply chain fund read-across. It includes FRTB and other projects, so I think we are very well organized now. We have a very constructive dialogue with all 3 regulators. Clearly there's still a lot of work left, but we are moving definitely in the right direction. And under David Wildermuth's competent leadership, I feel that we are moving in the right direction.
Operator: The next question comes from the line of Chris Hallam with Goldman Sachs.
Chris Hallam: And first of all, just to echo everybody's comments, Thomas: I certainly appreciated both your thoughts and perspectives in recent months. 2 quick questions from me. Just first, on compensation costs and head count. They were both up year-over-year in the quarter. And I know you've talked about the deferred comp impact here in 2022, but is it fair to assume that considerations on head counts and on comp costs feed into the CHF 15.5 billion landing points [in] OpEx and also as part of the ongoing pivots in the IB into the more capital-light activities? So that's the first question. And then secondly -- and maybe I missed this in your prepared remarks, David, but just on the [235 million] of mark-to-market losses in the quarter in leveraged finance, would that number be meaningfully different where we are now in late July?
David Mathers: That's a good question. Thanks, Chris. Just to take the 2 in turn: I mean I think -- in terms of compensation costs, Chris, I think you know that last year, as a consequence of our response particularly to Archegos, we did go for a much higher level of deferral. That was an appropriate decision we made in conjunction with what -- which we made. And clearly, this year, we are actually going back to much more normal levels of deferral, so therefore, the [CVA], the cash component of the awards is substantially higher than before. I think -- in terms of the outlook for compensation costs overall, I think clearly it's a radically different investment banking environment this year than it was last year. I'm not going to prejudge how this year closes out, but I -- it doesn't seem to me like it's going to be as good a year for bonuses in 2022 as it was in 2021 across the industry. So yes, we'll look at it, basically, but the year-on-year change is primarily due to deferral changes. Clearly we have looked at this as part of our program, but it's not the primary driver in terms of what we need to do. We're talking about sustainable improvements in efficiency that we need to achieve that go far beyond compensation changes. I think, your second question, in terms of the mark-to-market on the unrealized, in particular, component of the leveraged finance. Well, it was $245 million. Would it be better in July? Well, look. Yes, you're right in the sense the indices have obviously [rallied] in the first few weeks of July, but I think a lot of wood to chop in terms of market volatility before one can make these comments. And I would be inclined to be still prudent about this. As I've said, we clearly take our marks continuously. It's not just done at the end of a quarter. It's done on a regular basis. And that reflects both deals that have actually funded already where we've exited but also marked to market against future funding commitments. So I think that's a protocol which, I would say, I've followed since 2007; and I think it's the prudent way to think about it. You're right. The indices have narrowed, but just history from the past basically says you can't always judge specific trades by moves in indices basically. So I would still be cautious, Chris, in terms of this. I think there's -- we're still in the course of a very difficult market environment with very radical changes in the interest rates structure. And it clearly has a -- and clearly, Chris, as I said in my prepared remarks, there does have to be a much increased chance of a significant recession at some point in the next 12 months.
Operator: The next question comes from the line of Anke Reingen with Royal Bank of Canada.
Anke Reingen: Also from me, thank you, Thomas, and all the best. And happy birthday, Kinner. I just had a question on Slide 18, about the interest rate sensitivity, the higher funding costs comment. I assume that's not included in the potential benefit from higher rates. And I was wondering. You give us the CHF 200 million for '22, but given your issuance comments, should that ramp up into '23? And then secondly, just on the strategic changes. I mean I guess I can imagine it must be quite unsettling across your -- a number of divisions of your bank. And I just wonder how you sort of like try to manage that situation and not, yes, impacting staff morale. Or is the view to do this relatively quickly, which might be more costly? Or is it more gradual? I just wonder how you manage your staff through the announced changes.
David Mathers: Well, just taking the first point, first, in terms of the benefit from higher dollar and euro rates and the offset from the move toward 0 in Switzerland, which is -- as you say is on Page 18. I did think that it was appropriate to give full guidance around this, so we've given the benefit we'd expect from current forward curves. And incidentally, just in terms of my, yes, interest rate and treasury management, I do have the ability to actually term out a significant proportion of this to actually lock in that benefit. And those are trades which my treasury function has actually been conducting, so we are beginning to lock that benefit in. It's not just a forward curve projection, but I did want also to basically disclose that, clearly given the moving credit spreads across the market, across the banks and for Credit Suisse, for that matter, it seemed prudent to basically guide to the adverse impact to funding costs as a consequence, both for those moves and, of course, the increase in the AT1 guidance which I've given this morning. Clearly what the funding costs will be in '23 or '24 will obviously depend critically on what our credit spreads are at the time [we actually issue]. So that's a comment in terms of my issuance plan for '22 and that's all I'd say at this point. It becomes a little bit forward looking there afterwards.
Anke Reingen: Okay, so the CHF 1 billion is pre any potential increase in funding costs [Indiscernible] number.
David Mathers: That's right, but they are separate things because [one is the] exposure to my shareholders' equity, my deposit strategy, my [replication] strategy. The other is the increase in funding costs, which comes largely from our AT1 issuance plan.
Anke Reingen: Okay.
Thomas Gottstein: [Indiscernible] staff morale and attrition is concerned, clear that changes in strategic directions, et cetera always create a certain un-security, but on the other hand, from all my conversations I've had and that Ulrich will continue to have going forward, there is a broad-based recognition and support that we have to take some further actions. There is a lot of frustration around allocated costs, et cetera, so the cost initiatives is broadly supported by everybody. And also we are very focused to come back quickly, i.e., within a quarter, with clarity for everybody. So we are very much focused on this and we are having a lot of support by our direct reports and N-2s across the bank.
Operator: The next question comes from the line of Andrew Lim with Societe General.
Andrew Lim: Best wishes to you, Thomas. And credit to you for managing the bank through challenging times which have arisen through no fault of your own. So on to my questions: First of all, how do you think about the stability of the CET1 ratio at 13.5%? The reason I ask is, number one, had you not had 5 billion of IB deleveraging, you would have been 30 basis points lower. And then number two, how long do the FX hedges stay in place? Do they roll off at some point? So I guess my question is, if you keep on making losses, would you see your CET1 ratio drop lower? So that was my first question. And then my second question is on retention packages that have hit the headlines lately. Could you explain in detail how these are expensed through the P&L? Is it on awarding of these packages [or on vestment]?
David Mathers: Well, firstly, I think, just in terms of the CET1 ratio, I mean, I think clearly there's clearly a number of moving parts there. Obviously we did reduce our business usage. And that was clearly part of the plan we actually had last year, so I think that's to be expected, primarily in the IB clearly, but I think clearly we also had the leveraged finance losses [Indiscernible] overall performance of the banks and including litigation charges. So there clearly is a number of volatile items within that. I think it seems prudent to give a range of 13% to 14%. I'm not really going to add to it beyond that. As I said, I think it is a very high capital ratio for the bank, certainly compared to historic norms. And indeed we did include a comparison at the back of the deck against many of our peers. So I think that is worth keeping in mind. On the FX point. It's we continuously roll the -- roughly 65% of our CET1 forward, so they don't have an expiry date in terms of that. It's just part of our normal treasury management. We've run it continuously on that basis. That's separate from my term-out strategy for the shareholders' equity which I mentioned before, which I think you may be alluding to, where we have been keeping it relatively short for the last couple of years, typically around 2.5 years. I think [we're weather right to] these sorts of events coming at some point, although they've been clearly much, much more marked than I would have expected. And we have been seeking to -- we have been terming that out in the course of recent months basically, as interest rates have actually moved up, to actually lock that in. And those are typically termed out to somewhere between 4 and 5 years. [Andrew asked that] question, but there are 2 separate things. One is my term-out strategy for the equity. The other is my FX exposure management -- sorry. And you asked a technical question around retention and recognition and -- well, look. I think this -- I don't think I can add too much in terms of details. If I talk about the program we did last year, to give you some idea: Typically speaking, those were 3-year instruments; and they vest roughly 1/3, 1/3, 1/3 basically. So it's a time-weighted basis, so it's -- if they were awarded for 6 months, it would be 1/6, 1/3, 1/3, 1/6, depending on when they're actually awarded. That's how they work.
Operator: The next question comes from the line of Piers Brown from HSBC.
Piers Brown: I've just got a couple. On litigation. So you put CHF 434 million this quarter. I think, if I'm not mistaken just looking at the quarterly report, the number you gave for the range of [reasonably possible losses] has gone slightly higher. I think you're quoting 1.6 billion versus 1.4 billion last quarter. So if you could just talk to what you're seeing in terms of sort of inflow of new cases into that number versus work out of existing cases. And I guess you've mentioned this quarter the communication, record-keeping issue, which is a new case, I guess, but just the effect of those 2 items. And then secondly, on the securitized products business. I mean, when you think about that business and if we got to a point somewhere down the road where you looked either to do a disposal or some form of exit, do you think there are interlinkages with other parts of the IB that you intend to maintain as -- in their current format? And I guess the reason I ask the question is because we've sort of seen with the exit of Prime Services that there can be unintended consequences for businesses that you retain, in terms of spillover effects. So just how you think about securitized products and how discrete or siloed that business side is in the context of the overall IB franchise.
David Mathers: We're taking those in turn. Just in terms of litigation, I mean, I think your comments are absolutely correct. I mean the [RPL] did increase to 1.6 billion and notwithstanding the fact that we took major litigation provisions of CHF 434 million in the quarter. Why? I mean, as you say basically, we were not anticipating the $200 million charge in respect of unapproved electronic communications. I think you've obviously seen that across the industry, but I wasn't expecting that at the end of the first quarter, so that was a new case. It had no RPL associated with it and doesn't have any RPL associated now, so unfortunately, I've had to increase my provisions by [200] with no impact on RPL . I think the balance -- I mean I think you know that Markus Diethelm took office as our General Counsel. He's been doing a full review of our legal case. He has made and continues to make substantial progress in resolving a number of these cases, and that really flowed from that review of those cases. There's nothing particularly new that's popped up to drive the RPL number. I think, on the second question, just on SP. I just would guide you against from -- kind of assuming that this is an exit from securitized products. This is a very successful platform. It's been core to the bank for a very long time indeed, firstly, in mortgages, and now in terms of asset financing. There's a lot of potential to actually grow this business, if you had to deploy more capital. We do have some limits on what we can do to actually support it. It's a great team. And that's really what we're looking to actually do here, frankly, so I just want to caution against this is an exit from SP. It's not. This is a business where we do see potential to basically grow and invest in it, albeit with third-party support for this operation. I don't know, Thomas, if you want to comment.
Thomas Gottstein: No. I think you summarized it well.
Piers Brown: Okay. And Thomas, very best wishes for the future.
Thomas Gottstein: Thank you very much.
Operator: Back to Kinner's closing comments. Kinner?
Kinner Lakhani: Great. Well, thanks, everyone, for your interest. And if you do have any further questions, feel free to contact the IR team. And have a good day. Thank you.
Operator: A recording of the presentation will be available about 2 hours after the event, on the Credit Suisse website. Thank you for joining today's call. You may all disconnect.